Leonardo Karam: Good morning, ladies and gentlemen, and thank you for waiting. Welcome to the Usiminas Conference Call in which we will discuss the results of Q1 of 2022. I am Leonardo Karam, General Manager of Investor Relations at Usiminas. To those who want to follow us in English, a free translation of the webcast presentation is available on the Usiminas IR website. We also have an interpreter for simultaneous translation. Please choose the sound channel on the icon at the bottom of your Zoom screen. All participants are currently on listen-only mode, and questions can be asked in writing in the Zoom Q&A session. This is the icon at the bottom of your screen. Participants who are listening in English will also be able to ask questions directly in this section. This conference call is being recorded and simultaneously broadcasted by using Usiminas YouTube channel. Please note that this conference call is exclusive for investors and market analysts. Please identify yourself, so that your question can be answered. And for better interaction, please limit your questions to two questions per participant. We also request that questions from journalists be directed to using Usiminas media relations by phone 31-349989-18 or by email, imprensa@usiminas.com. Before proceeding, we would like to clarify that forward-looking statements made during this conference call regarding the Company’s business prospect as well as projections, operating and financial targets regarding its growth potential are forecast based on the management’s expectations regarding Usiminas’ future, these expectations are highly dependent on the performance of the steel sector, the country’s economic situation and the situation of international markets, and therefore are subject to change. With us today is Usiminas Executive Board, our President, Sergio Leite; the Vice President of Finance and Investor Relations, Alberto Ono; the Industrial VP, Américo Ferreira; VP of Corporate Planning, Yoshiaki Shimada; VP of Technology and Quality, Kohei Kimura; Commercial VP, Miguel Homes; CEO of Mineração Usiminas, Carlos Rezzonico; the Executive Director of Soluções Usiminas, Ascanio Merrighi; The Managing Director Usiminas Mecânica, Fernando Mazzoni; the Legal Director, Bruno Paulino and the Controllership Director, Julio Arroyo. Initially, Sergio will make his remarks and subsequently Alberto Ono will present the results. Then questions in the Q&A session will be answered.  Now, I give the floor to Mr. Sergio. Mr. Sergio, you have the floor.
Sergio Leite: Thank you, Leonardo. Good morning to all of you, and thank you for participating in our live to announce the results of Q1 of 2021 of Usiminas. Our results will be presented by Alberto subsequently. I would like to highlight where we’re making progress, regarding our 10 ESG targets that we presented to the market in the beginning of the year when we announced the results of 2021, we are working intensely and making progress. We signed a contract with Canadian Solar to produce photovoltaic energy as of 2025, 30 megawatt, and this will represent 12% of our consumption. We signed a charter of the World Steel Association charter that is our commitment toward carbon neutrality, to reduce carbon emissions and to minimize the climate effects throughout the decade. Today, there’s a special meaning in all of this. And I am very grateful to all of you because this is the last live where I will participate. As of May 19, I will become the Chairman of the Board of Directors of Usiminas. And first and foremost, I would like to thank all of you. We have created an earnings result announcement system, first, through the conference call in 2001 and I participated since the first edition. We’ve had over 80 calls in these 20 years. And for me, this is a very special moment because this is a moment where I will -- I’m accountable to our investors, to our shareholders, and this is a moment of the discussion as well. These are important discussions that approach the Company’s results, but mainly perspectives. Very intelligent questions are always made and the reports are an object, are something from which we learn. This is my 14th position in a career that this is a career of over 45 years. I’ve been a CEO -- I’ve been the 12th CEO of the company. And as of May, I will be 11th Board Member, Chairman for Usiminas. And for me, it has been important to participate with you in this special moment. Throughout a number of years, I participated directly in these things that involve commercial aspects of the company. And for me, this was very important. I would like to thank all of you, each one of you for your presence, everything that we’ve discussed throughout the 22 years, everything that I have learned. In 2016, we took over the company in a critical moment. You followed up this moment intensively, you participated, and you also gave us support. In the beginning of this year, we presented the results of 2021 that have been the first -- the best results in the past 60 years. And I’m very happy to continue my career in this company. As of May, I’ll be the Chairman of the Board. Of course, I will miss participating in this special moment that is the moment where we announce our earnings results. But first and foremost, I would like to thank all of you for this very fruitful 20-year experience. Thank you very much for everything. And now I would like to give the floor to Alberto, our future, CEO. And Alberto, I wish you a lot of success. And I’m absolutely sure that he will be very successful as a leader of our company. He is a very competent professional with a solid background and with a lot of experience and that will develop excellent things in our company. And now, Alberto, you can present the earnings results of Q1 of 2022. Thank you very much to all.
Alberto Ono: Good morning to everyone. Thank you for participating, and I would like to thank Sergio for his kind words. So now, let’s go to our results of Q1 of 2022. The first slide, okay. Steel unit sales. Our sales increased 7% in steel and in the domestic market, 10%. So, this is above the 860,000 tons vis-à-vis the past quarter. And total volume, we were 1.1 million tons above. So, we can see a significant growth vis-à-vis Q4. Now, iron ore sales, on the other hand, here, we can see that we had an operating problem because of climate, which hampered our operation, during January, we had very strong rainfalls. This was -- these were record rainfalls during the month of January that hampered our operation and also the ramp-up of dry filtering. Also -- this also affected the production during the quarter, but we still are maintaining our guidance throughout the year because we believe that we will recover the volumes in the upcoming quarters. Now, regarding the EBITDA, on Q4 last year, we had nonrecurring effects accounted during this quarter. Here, we have a drop of 37%. It seems significant. Nonetheless, we will show you that during Q1, we don’t have recurring effects, and this is an operational figure that is R$1,560 million and net profit, R$1,263 million. I would like to note that during this quarter, we had the effect of the exchange rate. The real was appreciated 50%. So, I believe that this is an interesting figure now. And we see our next slide. Here, you can see -- you can see the five past quarters, mainly here. In the past quarter, the nonrecurring effect of R$619 million. And when we see Q1, we can see a drop of approximately 15%, a margin of 20%. This is a lower margin than that of the past quarter, but still significant when you see the historic levels of the past five and six years. Now, our next slide. Here, we can see our steel unit. The EBITDA of R$1,011 million, this is a 15% margin. This is below the past quarter, but it is still at a reasonable level when we analyze the past five years. Now, the mining unit, although we were impacted by the volume production, the prices were favorable. Although there is a lower volume, we have a better EBITDA when we compare it to Q4. That is -- over -- exceeding the RR$340 million. You can see the effect due to the price that is above 40%. Now, our next slide. Here, we have Soluções Usiminas recovery regarding the past quarter. We had a number of nonrecurring effects that were negative and discounting this, there has been -- where there has been an impressive significant improvement from R$46 million to R$67 million. Our margins go to a level closer to the normal levels. That is a margin of around 3%. It is not the high margins that we saw last year that historically were the highest in this segment. Now, when we see our next slide, here, we have other indicators, mainly working capital. There was real -- there was a reasonable increase of R$900 million. But when we discount the tax credits or the taxes recoverable, this is almost R$1,100 million. And the makeup of the working capital, a significant part is because during Q1, there was a significant drop in taxes to pay. This is because how you calculate and how you pay income taxes in the mining industry. First, you see the result and you -- at the end of the year, you pay during the subsequent quarter because of the significant record result of the mining unit, we had to pay a great number of taxes that were settled during Q1. And this diminished the amount of taxes that we would have to pay. So, this reduced our liability. In working capital, this increases our working capital. And another point is there was an increase in accounts receivable that was around R$200 million. And we also have the mining effect, but there was a global price effect. Now, in terms of steel inventories, you can see that in terms of steel volumes, there was a significant drop of 10% in terms of global inventories. And our level is very similar to Q1 of last year and above 60 days of turnover. So, during the third, fourth quarter, it was high and now we are at a level closer to normal levels. Now, next slide. Here, you can see our cash position and indebtedness. Our cash position is R$6.6 billion, still strong. This is above our debt. Our debt is R$5.5 billion. So, there was a drop because of the exchange effect, we have a negative net debt and a net cash of R$1 billion. Now, our next slide, CapEx. As we’ve seen in the past year, Q1 is still starting up its CapEx. Therefore, the level is lower than the past quarter. But as we fulfilled last year’s guidance, we will fulfill the guidance of this year geared toward the steel unit. And at last, our slide, you can see our new follow-up, our follow-up regarding our ESG goals and with exception to one point that is a bit delay to regarding what we have planned. All of the rest are according to our plan. I am not going to mention one by one. You can read them all in a release, and you can read that in detail, but this is the new follow-up of our goals. And now, we can proceed with our Q&A session.
A - Leonardo Karam: Thank you, Alberto. So now, we will go to our Q&A session. The first question is from Leonardo Correa, BTG Paco and Marcio Farid from Goldman Sachs. Alberto, they want to know about the working capital. And Leo asked, he would like you to elaborate in the working capital in anticipation to the refurbishment of Blast Furnace 3. And Marcio asks about the commercial strategy to buy plates and for inventories. Alberto?
Alberto Ono: I’m going to talk about of the Blast Furnace 3 and its preparation, and Miguel will talk about the commercial side. Regarding the shutdown strategy of Blast Furnace 3 as we have already mentioned, the shutdown is scheduled that will be April 2023. And what we want to have an inventory of plates between 600 and 700 tons. So, during the shutdown that will be 110 days, this can be used for -- used in our rolling mills in Ipatinga. What we want -- we will start this mainly by the end of the year. We will probably start this 6 months before the shutdown because of the logistic matters involved in all of this. And this is how we are seeing this. I believe that in terms of working capital, well, this will be more affected during the last quarter of this year.
Miguel Homes: Marcio, as Alberto mentioned, according our current plan, we have scheduled a shutdown of 110 days during the second quarter of 2023, and this means that we will not produce 700,000 tons. Now, when we buy from third parties, depends on the number of variables. It depends on the domestic demand. Another important variable would be the export business as well. We have to see the profitability during the period and the inventory -- inventory level that we can have using our own plates. Now, during the past years in Usiminas, we’ve developed good plate suppliers, national and international. Today, we have approved over 11 steel mills that fulfill our requirements in terms of quality and volume. In the past years when we bought plates from local suppliers represent 85% and 15% are foreign suppliers. And remember, exports 8 -- 7 million tons a year last year, we bought 2.2 million tons, and we would add to this the necessary level of purchase during the shutdown. And as Alberto said, our purchase for our inventory would start during the last quarter of 2023. Now, about price. It is important to understand the impact of the conflict between Russia and Ukraine in this -- Russia, and Ukraine represent 5% of the steel production. You can say that this is not relevant, but they have relevant impact in certain segments and markets. Russia and Ukraine account for one-third of the worldwide plate trade and one-fourth of European imports. So, what we have observed here is a great distortion and instability and uncertainty since the beginning of the conflict. And we see international indicator of plates -- plate prices that are above what is normal that is not sustainable throughout the period. In the -- after the distortion, was important, what we’ve seen in the past days is a normalization of supply and demand in plates. So, we believe that we will see greater participation of China in the plate market. And the Russian production, although it dropped since the beginning of the conflict, this is being absorbed by China and Turkey. So, we see a normalization of the plate market in the world. And we believe that the indexes will go back to normal that had an impact in the price and the cost of steel mills worldwide.
Leonardo Karam: Our next question from Leo Correa, once again, from BTG. He wants to know about Cubatão, what about the economics of the business with the inflation of plate prices in the market? And if the Cubatão business would be unfeasible to work with, with this level of price inputs?
Alberto Ono: Well, this is also associated to what Miguel mentioned. Speaking of Cubatão, today within our horizon we are maintaining the Cubatão operations because they are feasible and profitable. Now, of course, there was a price volatility. But as Miguel mentioned, we are going back to a normal level. And in our case, in Cubatão -- not Cubatão, but by and large, when we purchase plates, they are scheduled. So, every time we buy a plate, it is more or less geared to service segments and clients with predefined prices for it. So, when you have volatility, perhaps we will have to wait and see what is going to happen. But as these things are going back to normal levels, we continue buying plates, and we continue providing products to our customers. Up till the moment nothing has emerged in our horizon that can enable the business. No, there were stress points in the market, but we have to remember that the world has a major overcapacity of steel. So, when you have these on balance, it takes some time. Nonetheless, we go back to a balanced period. And it’s important to mention that in the sense that when we analyze the plate exports from Ukraine and Russia, they represent about 1% of the Chinese production. In reality, the Chinese arbitrage in the market has a low impact in production adjustment. Now, China reduced the production in the first quarter, but we believe that March, there will be a slight recovery. And we -- these international markets will be -- now, we analyze -- now, this impact in the period of volatility was we reanalyzed the businesses, and we -- and this is part of marginal...
Leonardo Karam: So now, I’m going to you, this goes from Daniel Sasson, Itaú, from Caio Ribeiro from BofA and  and Thiago Lofiego from Bradesco BBI. I am going to try to, now regarding the guidance of volumes for the second quarter. This is a drop of 12%, quarter-on-quarter. This is because a great difficulty to buy plates from third parties or there’s availability and there’s more. Caio and Roseto  ask if this is because of an anticipation, because of the increases or if they believe that the real demand dropped. And Thiago asked what is the expectation of volumes for exports during the second quarter because guidance. So, he asked to explain this.
Miguel Homes: Well, we evolved in a positive way throughout the quarter. Now, the date they present an improvement of an important volume of the associations, and this is a growth of 17%, 18% vis-à-vis February this year. This is aligned regarding March last year. We have seasonality. We have a weaker first quarter. And we can improve this in the domestic market improvement. We -- as I -- we follow up the market. We will follow up the sequential improvement that we for the consumption during the second quarter this year. The volatility of the plate market would allow, we believe this would -- perhaps we will drop our export vis-à-vis the past two quarters and making the sales mix very similar to what we had during the first semester of 2021. Our guidance is focused on the drop of our exports because of the volatility of the plate price and the gap of the price of the plate and the steel prices, but we will follow up the sequential improvement in the domestic market.
Leonardo Karam: Thank you, Miguel. Next question. We also have Daniel Sasson from Itaú, Carlos de Alba, Morgan Stanley, asking for the Blast Furnace 2. Daniel asked about the return of the Blast Furnace 2 and how much will it -- how long will it take to ramp up the prices plates, coal, and how will you resume this operation? And Carlos de Alba wants to know why the delay in the Blast Furnace 2 and which are the problems with the coke plant and why this reconnection of the blast furnace is conditioned and is not -- it has not been decided yet. Alberto, please.
Alberto Ono: Daniel and Carlos, thank you for your questions. Number one, Blast Furnace 2, regarding the Blast Furnace 2, it is a bit delayed because it took us more time than what we expected to carry out the retrofit of the equipment after the problems that presented last year. But nothing -- nothing that will hamper. Therefore, you can -- you’ve seen that the CapEx amount hasn’t changed. It took some time to receive a number of components. And there were certain matters regarding to supply chain that also affected it. But I can say that there are no major -- no major issues here. In addition to delay, we believe that it will be ready to become operational as of June. But, as we are assessing the scenario, as soon as it is available would be coke. Well, currently, we’re undergoing a period where there is less availability of our coke batteries. They are going through a maintenance and preservation cycle. Therefore, we have lower production. And with this, during Q1, we had to use imported coke in the production of steel and the resumption of blast furnace to -- would force us to buy more coke in order to produce the additional steel volume. And in our view, no -- here ends will not meet interestingly. So, we are still waiting. We’re waiting for the recovery of this production in the coke plants. And for the time being, we don’t have a clear forecast. We’re working with people of technology with lots of knowledge. They’re focusing on this manner and in order to resolve this rapidly. But, we don’t have a clear forecast when we will go back to our normal operational level. For the time being, we will have a coke deficit. We will have to go to the market. But, the resumption of Blast Furnace 2 would increase this deficit. And in this equation is doesn’t make sense to do this because of the situation. So, we will continue working with Blast Furnace 2, Blast Furnace 3 in Ipatinga, as we have better visibility regarding the normal resumption of our coke plants.
Leonardo Karam: Thank you, Alberto. Our next question from Daniel Sasson from Itaú and he wants to know about Blast Furnace 3. If you will delay next year’s Blast Furnace 3 shutdown? You already answered.
Alberto Ono: Yes, we continue with our scheduled maintenance. Nothing has changed.
Leonardo Karam: The next question from Carlos de Alba from Morgan Stanley. It’s about SG&A. He said the SG&A expenses were higher. And what drove this increase? If it was higher exports, if there were lower -- the exports were lower than on Q4. What do you consider a sustainable level from here on?
Alberto Ono: I am going to answer the first part of the question. Miguel can answer the second part. Carlos, regarding the SG&A of Q1, although the export volume was slightly lower than that of Q4, what happened was that in destination ports, there was -- there were bottlenecks when. You have modalities that include freight costs, you are damaged in the arrival, and when you have bottlenecks and you have to wait for a ship to unload. And this also increases this. There was -- we had bottlenecks in ports. We had logistics problems. This affected Q1. Now, regarding sustainability, Miguel can talk about this.
Miguel Homes: As I said, during Q1, we expect a drop in exports because of reasons that we’ve mentioned because of the volatility in the plate market and the gap between plate prices and finished products. For the second product, we will -- well, we see different alternatives in terms of business focused on our traditional markets. What I mean is Europe and regional markets like Argentina.
Leonardo Karam: Thank you, Miguel, Alberto. Our next question will be about costs. And Caio Greiner from Bank of America; Thiago Lofiego from Bradesco; Marcio Farid from Goldman Sachs, they want you to elaborate on the costs during the second semester this year. When do you expect to see a relief in the plate costs of third party, and what are the coal prices that you expect in the upcoming quarters? And Marcio always -- also asked about coal. And he says, what do you expect regarding coal prices on second and third quarter?
Alberto Ono: Now, regarding the cost for the next quarter, we don’t give this guidance, but what happens is the cost of reducers -- coke and coal on our side. This is the -- I’m talking about production costs. They’re still going up because we’re consuming an inventory which we paid a high price because of the lead time, and this will be offset by the plate that we -- by the slabs that we negotiated before the conflict between Ukraine and Russia, these slabs were negotiated and that they will be at production cost during Q2. So, these -- the high price of reducers because of the low cost, they are going to balance themselves. So, the expectation, I would say, for the time being, we may see a variation, but this will be a stable cost production. And this is -- but this is the expectation. Now, regarding the coal cost, as I mentioned, the costs are increasing because the acquisition costs that go through the inventories that will also affect, the production cost still go up. There is certain inertia regarding our inventories. Now, the expectation for the replenishment market from here on, we believe that they will accommodate. There has been -- there hasn’t been a significant drop, but there has been a drop in the international coal prices, but we want to see if this represents a trend because it dropped from 600 to 550, we still consider this high when we compare it to historic levels, and this is our view today.
Leonardo Karam: Our next question from Lucas Hota,  it’s an individual. And what about the readjustments of steel for April contracts? And how will this impact the future contracts. And Marcio Farid asked about price. What about prices after the increase of the automobile industry in Brazil, and if we will see this increase during the second quarter. Miguel?
Miguel Homes: Thank you. The negotiation contracts were signed by the end of March. These contracts are valid as of April 1st, and we will follow all these conditions as we do every year. So yes, we can expect the implementation as of April 1st. And we increased our line with what we expected and reflect the evolution of conditions and cost of raw material throughout the past 12 months, and we have to remind you that these are yearly contracts that fixed prices in real. And these contracts were 50%, 60%, and they will be implemented as of April 1st. Now, regarding the future impact, we don’t announce future events, but what we can confirm that these increases will be applied on 80% of the auto industries and 20% have been adjusted as of April 1st and sales to the auto industry represent one-third of our total sales. So here, you have the information to carry out your own calculations and your own forecast.
Leonardo Karam: Thank you, Miguel. Ricardo Monegaglia from Morgan Stanley wants to know about inventories. If you could elaborate on the commercial strategy to reduce the inventory in Q1 to sell more production or buy more slabs?
Miguel Homes: In reality, our target -- our target -- our inventory level is according to our level to our core activity. It will -- so today, we calculate that at the end of Q1, we have a normal inventory in our plant, and there is a normal level of inventories in the market. When we see the results being announced this week, we can see a level of inventory of 2 months, up 2 months from the India associates, something that we consider low, as Alberto mentioned, and the results are inventory level is around 58 days of turnover. And this is something that we consider reasonable for the activity level in each one of our plants.
Leonardo Karam: Miguel, the next question from Ricardo. He wants to know about prices, the level of steel prices during the last month regarding the average of the period, and if this pricing includes increases and price comparisons to the beginning of the year.
Miguel Homes: The price -- the price of March was aligned with the average price of the quarter. We adjusted throughout the first quarter, but the average prices of March are aligned with the first quarter. Now, because of the conflict between Russia and Ukraine, we have been suffering because of increased prices in freight, energy, raw material and this will impact the prices of Q2 in addition to the auto industry contract that I already mentioned.
Leonardo Karam: Thank you. Alberto, we have capital allocation, Edward  from Bradesco wants you to talk about the allocation of capital and priority between CapEx, return to the shareholder and liability management with some opportunities. Victor Kitzman  asks, he says that due to this -- the capital structure with expanded indebtedness, will there be extraordinary dividend payout. Victor probably wants to know the leverage of cash and the leverage that you consider ideal. Edward, Victor.
Alberto Ono: Now regarding capital allocation, as we have already announced, there is no change regarding our strategy. So, the current policy of dividends continues. We pay out 25% of the net profit. And the priority of our cash generation is to maintain investments. As we mentioned, this year, we have a significant investment of R$2,052 million to be carried out this year. And in addition to this, the steel volume is reflected on our working capital. And we also have inventory preparation for the refurbishment period of Blast Furnace 3. These inventories will consume a reasonable cash because of the increase of the working capital. But at a first moment, you need resources in order to make up this inventory. Our priority today is CapEx and to finance the working capital with your own resources as possible throughout this maintenance period. After the maintenance period, we can discuss about what to do with an excess of cash. But right now, we are focused on this.
Leonardo Karam: Thank you, Alberto. Now, we’ve ended our Q&A session. Before giving the floor to Sergio, I would like to -- Sergio, Alberto, we’ve received congratulations. Many people are saluting you, Gabriela says, Sergio, thank you very much, and thank you for your partnership, success and the new challenge. Thiago Lofiego would like to congratulate Sergio Leite for his partnership throughout this year and to wish Alberto a great luck and success in this new position. Marcio Farid, success to Sergio and Alberto, their new position,  thanks and congratulate Sergio Leite for his excellent job. So, I have conveyed all these messages. Sergio Leite, your final remarks.
Sergio Leite: Well, thank you very much, Leo. Thank you much. Thank you very much for your greetings and your messages. As I’ve mentioned, it has been a great pleasure to share with you our quarters during the past 20 years, and during the past 14 years, I’ve been part of the executive management. I would like to thank you for your partnership. I would also like to -- I would like to thank my colleagues during the past years, especially Alberto, Miguel, Shimada, Kimura and all of -- and everybody that worked with me and the executive management. And I would also like to thank and congratulate all the employees of Usiminas, today we have 13,000 employees, 12,000 partners that work with, especially due to what we’ve done in the past six years. Nothing would have been without the dedication, commitment and commitment competency of each one of our employees. Thank you very much to each one of you. It was a pleasure to be with you. But I continue with Usiminas as the Chairman of the Board of Directors. Thank you very much.
Leonardo Karam: We thank you all. And should you have any questions, our IR team is at your disposal.